Operator: Good day, everyone, and welcome to the Eastman Chemical Company Fourth Quarter Full Year 2018 Conference Call. Today’s conference is being recorded. This call is being broadcast live on the Eastman’s website, www.eastman.com. We will now turn the call over to Mr. Greg Riddle of Eastman Chemical Company, Investor Relations. Please go ahead, sir.
Greg Riddle: Thank you, Holly, and good morning, everyone, and thanks for joining us. On the call with me today are Mark Costa, Board Chair and CEO; Curt Espeland, Executive Vice President and CFO; and Jake LaRoe, Manager, Investor Relations. Before we begin, I’ll cover two items. First, during this presentation, you will hear certain forward-looking statements concerning our plans and expectations. Actual events or results could differ materially. Certain factors related to future expectations are or will be detailed in the company’s fourth quarter and full year 2018 financial results news release, during this call and in the accompanying slides, and in our filings with the Securities and Exchange Commission, including the Form 10-Q filed for third quarter 2018 and the Form 10-Q to be filed for full year 2018. Second, earnings referenced in this presentation exclude certain non-core and unusual items. Reconciliations to the most directly comparable GAAP financial measures and other associated disclosures, including a description of the excluded and adjusted items are available in the fourth quarter and full year 2018 financial results news release, which can be found on our website, www.eastman.com in the Investors section. Projections of future earnings exclude any non-core unusual or non-recurring items. With that, I’ll turn the call over to Mark.
Mark Costa: Thanks, Greg. Good morning, everyone. I’ll start on Page 3. Despite challenging short-term dynamics in the last few months of 2018, I’m proud of our accomplishments for the full year. We delivered 6% top-line growth driven by strong volume growth in our specialty businesses with contributions from product lines across our portfolio. We also made excellent progress converting our top innovation programs into commercial orders with double-digit growth in 2018 and new business revenue from innovation, which I’ll talk more about in a moment. Beyond creating our own growth, we’re positioning ourselves for long-term sustainable growth. We increased our growth investments by $50 million during the year, which includes 10 new start plant – new plant startups last year, which is a record for us to support the robust growth in our specialties over the last several years. We’ve talked about our larger expansions of Tritan, PVB, resins and Crystex on prior calls, and we also added smaller incremental capacity for products including ketones and performance films. Our increase in gross spend also includes investments in capabilities to further strengthen our application development capability. And while we ramped up our growth programs, we also remained disciplined in our cost management to offset inflation. Our cash engine generated approximately $1.1 billion of free cash flow for the year, about a 10% yield. And we pushed that cash to work returning $718 million to stockholders through a combination of share repurchases and an increasing dividend, with 2018 representing the ninth consecutive year we have raised our dividend. In this current environment, we continue to execute on what we can control, namely innovating through our enterprise, managing costs and allocating our strong free cash flow in a disciplined manner. And we see strong evidence that these core elements are working, despite the significant macroeconomic challenges we faced in Q4. On Slide 4, key driver of our success, as I mentioned, is our ability to convert our top innovation programs into commercial orders. I’m pleased to report that we’re seeing exciting progress across the portfolio with $365 million of new business revenue from innovation in 2018, growth that continued to the fourth quarter. Here are just a few examples. In AM, we delivered 7% volume growth in Tritan. This was underpinned by continued growth across a diverse set of end markets and double-digit growth in China, despite the headwinds from the trade dispute. In performance films, we once again delivered double-digit volume growth in our two largest markets for window films, North America and China. We also continue to build momentum in paint protection film with the launch of two next-generation products. Also in AM, our interlayer business continue to benefit from our innovations in automotive with our products and heads-up display growing at 25% in 2018. At the same time, we are building momentum in architectural with our general programs and the launch of a new structural product called Saflex DG and saw very strong growth, particularly in Europe in the architectural business. In AFP, strong adoption by more than 10 customers of our new generation Crystex Cure Pro, the newest innovation in insoluble sulfur. With this vulcanizing agent, tire manufacturers can improve productivity, achieve better operational control and realize cost savings. In Care Chemicals, we achieved a 12% volume growth in our water treatment business over 2017, as municipalities around the world adopt global water treatment standards, especially in China. Finally, in Fibers, we continue to accelerate our growth in textiles with 30% growth led by our new product line called Naia. These and many other examples of new business revenue growth from innovation give me confidence that we can be resilient even in an uncertain business environment. In 2019, we expect to deliver another double-digit increase in new business revenue closes from innovation and are on track to generate approximately $500 million of new business revenue from innovation in 2020. With that, I’ll turn it over to Curt.
Curt Espeland: Thanks, Mark, and good morning, everyone. Thanks for spending some time with us today. I’m going to start off with a few comments on our full year 2018 performance on Slide 5. And given the current business environment, it’s important to remember that through nine months, we were delivering strong results, consistent with our long-term strategies discussed last year at our Innovation Day. Through the first nine months, our revenue was up 8%, our EBIT was up 6% and our earnings per share was up 13%. And we were delivering these results despite $240 million of higher raw material and distribution cost, historically low spot ethylene prices and higher costs resulting from increased growth investments and the industrial gas supplier disruptions in Texas. Key to this performance was volume growth and mix improvement in our specialty products, successful price improvements relative to raws through the third quarter, strong cash generation and a weaker U.S. dollar. As the third quarter ended, the business environment became more challenging as all of you know. We felt this in our fourth quarter through inventory destocking that was beyond normal seasonality and we attribute this mainly to the U.S.-China trade issues, plus we saw some additional destocking in other markets, given the rapid drop in oil prices and related raw materials. On the destocking, we believe that the amount occurring above normal seasonality is largely in China, where we mostly sell specialty products, which therefore drives a negative earnings mix shift. And given the large drop in Brent beginning in October, we had a harder time raising our prices, but we still had $90 million of higher raw material and distribution costs year-over-year due to the third quarter flowing through our inventories. The result is that our fourth quarter results were more challenged than we were expecting, especially as the quarter progressed. With that said, given what we know today, we expect the issues we faced in the fourth quarter will get progressively better in 2019. And we’re already seeing evidence of improving order patterns sequentially into the first quarter. Now on Slide 6, I’ll start segment results with Advanced Materials, which showed strong volume growth and mixed growth in our premium specialty products through the first nine months of 2018, offset by some short-term dynamics in the fourth quarter. Looking at the full year, sales revenue increased 7% primarily due to higher sales volume and improved mix across the segment. Full-year EBIT increased due to higher sales volume and improved product mix, partially offset by higher raw material costs, particularly for paraxylene in the last four months of the year and growth investments of approximately $25 million for the full year. In the fourth quarter, sales revenue decreased mostly due to customer inventory destocking in specialty plastics as a result of economic uncertainty created by the U.S.-China trade dispute. EBIT decreased due to lower sales volume and higher raw material costs, partially offset by improved product mix, which was less than normal due to customer inventory destocking in China.  Despite volume declining at the segment level in the fourth quarter, Advanced Materials grew volume and mix in performance films and advanced interlayers in both the auto and architectural markets. In auto, both interlayers and performance films grew faster than the global auto market due to their breadth of innovation products. And in the architecture market, which now represents just under 50% of the interlayer sales, we are seeing strong growth particularly in Europe as we benefit from trends towards more windows in commercial architecture trends we are well positioned to serve. Looking ahead to the full year of 2019, we expect strong growth. While orders in January have improved sequentially, we expect some inventory destocking to persist in the first quarter, impacting our specialty plastics business. We also expect higher cost in paraxylene to flow through inventory, temporarily impacting margins in the first quarter. And we will not face the same step-up in growth costs as a headwind coming into 2019. As those issues moderate, we expect Advanced Materials to return to robust growth in the final three quarters of the year. Putting it all together, we anticipate Advanced Materials EBIT growth to be at the high end of the 7% to 10% provided at the Innovation Day range for 2019. Turning now to slide 7, into Advanced – Additives & Functional Products. For the full year, sales for Additives & Functional Products revenue increased 9% primarily due to higher sales volume, higher selling prices and a favorable shift in foreign currency exchange rates. Higher sales volume was attributed to strong volume growth in Care Chemicals, coatings additives, animal nutrition and tire additives. Full-year EBIT increased due to higher sales volume and a favorable shift in foreign currency exchange rates, partially offset by increased growth investments of approximate $20 million. For the fourth quarter, sales revenue was flat as higher selling prices were offset by an unfavorable shift in foreign currency exchange rates. EBIT declined as higher prices were more than offset by higher raw material, energy and distribution costs. The decline in EBIT in the fourth quarter was – which offset strong earnings growth through the first nine months of the year was due to few factors that played out simultaneously. First, destocking in coatings and tires within China and Europe weighed on product mix, as these products have higher margins relative to the segment average. Second, competitive dynamics in adhesives continued to limit upside in pricing, while higher oil-based raw material costs flowed through our inventory from the third quarter and third, higher growth investments and the impact of lower capacity utilization. Looking ahead to 2019, we expect higher raw material costs to continue to work their way through inventory in the first quarter. While we see a pickup in orders, we still expect some destocking in tires and coatings to continue in the first quarter. For the balance of the year, we expect to return to growth as raw materials become a tailwind, destocking plays out and we don’t expect the same cost headwinds as last year. All in, we anticipate Additives & Functional Products to grow EBIT at the low end of the 5% to 7% range provided at Innovation Day. Next to slide eight in Chemical Intermediates, which overcame numerous challenges in 2018. For the full year, sales revenue increased as higher selling prices across the segment were partially offset by lower sales volume due to the actions we took to mitigate historically low spot ethylene prices. Full-year EBIT declined as an improvement in spread in our derivatives was more than offset by headwinds from merchant ethylene. In the fourth quarter, sales revenue increased mostly due to increased selling prices, partially offset by lower sales volume attributed to merchant ethylene. EBIT declined due to higher raw material, energy and distribution costs partially offset by higher selling prices. Volatile raw materials had an impact in the quarter as higher costs were still flowing through inventory, while market prices for raw materials dropped rapidly creating a short-term disconnect between costs and pricing. For the full year, we expect a couple of headwinds will not repeat in 2019. First, we’ve largely mitigated the merchant ethylene headwind with the completion of our RGP project. And second, we do not expect to have a large industrial gas supplier outages repeat in 2019. The lack of these headwinds were netted with some expected softening in acetyls and in some olefin derivative products in 2019, lead us to expect 2019 Chemical Intermediates EBIT to be similar with 2018. Finishing up with the segment reviews on Slide 9 with Fibers. Looking at the full year, sales revenue increased due to higher sales volume, primarily due to continued growth in the textiles innovation products and non-woven products previously reported in other. Textiles volume growth was 30% in 2018. The sustained volume growth of these products is a great story, demonstrating how these product lines are contributing to stability in the segment. EBIT decline is lower acetate tow selling prices were partially offset by higher textile innovation product volumes. Tow volumes were relatively flat for the year. In the fourth quarter, sales revenue increased due to continue strong volume growth in textiles innovation products and higher sales volumes primarily to non-woven innovation products, previously reported in other. EBIT declined due to lower capacity utilization related to year-end inventory destocking in the quarter. Now a few comments on 2019. First, we have fairly good line of sight into customer order patterns in this business. We are also not qualified to shift into China from our tow plant in Korea mitigating some of the impact we discussed last quarter associated with shipping tow into China from the U.S. We expect stability in 2019 as we continue to stabilize tow and benefit from strong textiles volume growth that builds throughout the year, which offsets the gradual decline in the tow market. But different from past years, the first tow quarter is expected to be the lowest quarter for tow due to customer buying patterns, partially attributed to rebuilding in imports into China and few other customers. All in, we expect EBIT to be about the same in 2019 compared with 2018. On Slide 10, I’ll transition to some corporate financial highlights. Cash from operating activities was over $1.5 billion and free cash flow came in close to target added approximately $1.1 billion. We continue to demonstrate our ability to convert earnings into cash and manage our working capital. The Eastern team knows the value of converting earnings into cash, especially our BA, credit and cash management teams. As a result, our free cash flow conversion was over 92% in 2018. We returned $718 million to stockholders in 2018 through share repurchases and dividends. And I’m proud to say that, we’ve increased our dividend for the ninth consecutive year. Our full year 2018 effective tax rate improved to 16% from our previous outlook, as we’ve got better clarity on the impact from the Tax Reform Act. Looking into 2019, I expect our effective tax rate to be between 16% and 17%, and we’ll work hard to have that towards the bottom end of that range. I expect our free cash flow to be greater than $1.1 billion in 2019. We’ll remain disciplined with our use of cash across the various buckets. I expect a growing dividend, debt repayment, but to be a lesser extent than 2018. Share repurchases in absence of bolt-on acquisitions. And I would remind you, we should always expect that we’ll fully deploy our cash. Finally, don’t miss the modeling slide in the appendix of this slide deck to further help you in your analysis. With that, I’ll turn it back over to Mark.
Mark Costa: Thanks, Curt. On Slide 11, I’ll discuss our outlook for 2019. We have a number of growth drivers as we enter the year. As I mentioned earlier, we were doing a great job of driving new business revenue, as we leverage our innovation driven growth model. Results in our specialties growing faster than our end markets, and we expect new business revenue from innovation will increase to greater than $400 million this year. We’re also taking a more aggressive approach to cost management to hold manufacturing costs flat, offsetting not just inflation, but also the annualized effect of growth investments this year in a much higher shutdown schedule. This is different than 2018 relative to 2017, when we had a roughly $125 million headwind comprised of growth investments, the industrial gas outages and the ethylene headwind, which we have now neutralize to the RGP investment. We were also chasing increasing raw material costs especially in the back half of the year. In 2019, we’re also managing a few headwinds. As we’ve mentioned, we expect global growth to be slower this year, due to China trade issues and the European economy slowed down with Brexit and other concerns. On the U.S. trade dispute, we are expecting it to get – we’re not expecting it to get better or worse from the current situation in our guidance. We are projecting the dollar-euro exchange rates remain about where it is through the end of the year and this will be about a net $25 million headwind is about half of it in the first quarter. And we’re expecting pension expenses to also be about a $25 million headwind for the year. On spreads, we expect higher costs raw materials to continue to flow through until about the end of the first quarter. After that we expect to benefit from the flow through of lower raw material costs. So putting all of this together, we expect that EPS will grow between 6% and 10% for the year. Given what we know today, growth would likely be towards the bottom end of this range. We’re calling that our Innovation Day in February of our last year. Our long-term EPS growth projection was in the range of 8% to 12%. The difference between the midpoint of our long-term range and the range I just gave you for 2019 is primarily due to the lower expected earnings in the first quarter, due to raw material flow through and the destocking playing out and the substantial currency headwind we face. One other comment on the first quarter is that, although, we are expecting EPS to be down year-over-year. We are expecting strong improvement sequentially and indicated that the headwinds are lessening. Lastly, I would add that there’s obviously some uncertainty around all of these assumptions that we’ve made for the year. And so we’ll know more as we go through the first quarter. Finally, let me bring everything together. On Slide 12, what you see is our innovation-driven growth model, which we first discussed with you at the Innovation Day last February and I’ve referenced a number of times this morning. This model is central to our winning strategy and given the progress that we’ve made, we’re confident we’re on track. The headwinds we face in the fourth quarter and that we see right now looking forward is transitory and even this uncertain global business environment, we’re poised to deliver resilient results with solid EPS growth and the strong cash flow generation. As you look past the first quarter, we will be back on track for our long term EPS guidance range of 8% to 12%. As I look forward, given the progress that we’ve made in the commitment that I see from the Eastman employees around the world, I’m more confident than ever in our future today then and I look forward to creating a lot of value for shareholders both in earnings growth and cash flow. With that, I’ll turn it back over to Greg.
Greg Riddle: All right, thanks mark. As usual, we’d like to get to as many questions as possible this morning, so I ask that you limit yourself to one question and one follow-up. With that, Holly, we are ready for questions.
Operator: Thank you. [Operator Instructions]. We will now take our first question from David Begleiter from Deutsche Bank. Please go ahead.
David Begleiter: Thank you. Good morning. Mark, just in the guidance, you know honestly, on the lower end of the range bias, what are the range of outcomes that could actually result in either guidance be at the very top end or the very low end of the guidance range?
Mark Costa: Sure. Good morning, David. So there’s obviously a lot of uncertainty right now, as we sit here in January, looking forward, especially on whether or not the trade dispute gets resolved, what happens in the European economy. And so the real wild cards here are the macroeconomics. From what we can control point of view, I have a lot of confidence in the innovation that we’re delivering, our ability to grow fast than the markets we’ve already shown, even through the fourth quarter, where we have innovation in the interlayers, performance films, for example, we grew much positively both in volume and mix in a relative to a down market. So we feel the growth engines are intact, but there’s just a macro in economic uncertainty. So the trade war gets completely resolved that’s going to be upside for us. If Europe doesn’t have the headwinds, people are concerned about upside for us relative to our forecasts. And obviously, if the reverse happens that’s where the downside occurs.
David Begleiter: And Mark just in Advanced Materials, the 2% decline as volume in that segment. Can you talk about what volume was tracking until destocking in the world slowed? Was it more of a normalized number, perhaps October and early November?
Mark Costa: Yes. So the demand pattern there is, it’s important to separate things out. So performance films and interlayers had a really good fourth quarter. So they continue to deliver good volume and mix growth. The auto business, even though it was challenge especially in China, we still deliver growth and the architectural market also very strong, where our interlayers go into a lot of laminate glass, especially in Europe growing much faster than the underlying market, because buildings are moving to a lot more glass on the facade. So we get a lift well above actual construction rate. So the real challenge sat in especially plastics, David, and it was principally in China for them. When you think about a lot of our specialty plastics business, it is principally products we sell that are made into consumer durables that are then sent back to the U.S., and Europe. So heavily export-driven from China to the U.S., and so those customers were worried about, where the trade war was headed, they started – because they didn’t think they can handle the 25% increase on January 1. They started aggressively destocking. And really taking inventories down to almost zero and it would only order us, when they received an order from their own customer. So that really was the story on the demand decline and that has a pretty significant mix effect for us on a regional and product basis, because it’s important to remember that in China, we only sell our high value specialties for AM and AFP. The lower value chemical intermediate products are almost entirely in North America. So when you have a slowdown in China, it really comes with a negative mix effect.
David Begleiter: Very helpful. Thank you.
Operator: We will now take our next question from Frank Mitsch from Fermium Research. Please go ahead.
Frank Mitsch: Hey, good morning folks and thanks for the color on the outlook. I just want to get a little more granular in terms of your expectation. Since you have such a large business over in Asia and in China that impacts the three of your four segments. What are you baking in, in terms of an expectation post Chinese New Year, in terms of volumes coming back? Are you expecting any kind of normal bounce back, higher bounce back, lower bounce back? What is embedded in your estimates?
Mark Costa: Well, I think that there’s – you have to break it down into a couple of different components. So I’m going to deal with the destocking part first. And then I’ll talk about primary demand. So on the destocking side, if you think about what I just said in the last question that destocking is actually playing itself out fairly well. And we have line of sight that will be completed by the end of the first quarter in specialty plastics. Same thing is true in AFP, where we see destocking should play out by the end of the first quarter. So that I think, something you can see coming to an end. The primary demand question really is about the Chinese consumers. And AFP really has more sort of Chinese consumer exposure than AM does, when it comes to this demand question, because their products have a tendency to stay more in China. What you have is, Chinese consumers are worried about their economy. The government was already slowing the economy down in the first half of 2018. And the straight issue sort of was a trip wire to really make people nervous, especially businesses about what’s going to happen going forward. And so you see people holding back on high ticket items. That’s why you see the car sales down in the back half of last year, as you can all see. Same is true for appliances or any other high ticket item. And so people are being conservative. My personal opinion is if the trade where doesn’t escalate further, that fear subsides. Things are going to be viewed as more stable. And we will expect, some demand recovery but modest. If the trade war gets settled, then I think you could see more material restocking event than what we have in our forecast.
Frank Mitsch: All right, that’s very helpful. A question and a follow-up for Curt, obviously, he did nice job in reducing debt throughout 2018. I guess partly at the expense of buybacks being slow during the fourth quarter. How should we think about Eastman buybacks in 2019?
Curt Espeland: Well. Sure, Frank. First of all, as you think about the free cash flow greater than $1.1 billion, we’re going to be funding that attractive dividend that we have seen increase again this past year. On the deleveraging side, we believe that deleveraging can moderate some compared to last year. And so I always throw people out there right now, assume kind of roughly $250 million, but we’ll modify that during the course of the year, maybe a little lower, depending how EBITDA grows during the year. And I think as we go into 2020, the deleveraging should be pretty much behind us to a greater extent, as we think about EBITDA growth going into 2020. And so when you look at all those factors, then the remaining amount of that cash flow should be for share repurchases. And what you saw on 2018 and you could see a similar effect in 2019, we did a fair bit of our share repurchases in the first half of the year and you should see a similar effect this year. Quite honestly Frank, we probably could have done a little bit more in the fourth quarter, that’s on me. I did want to hit our deleveraging targets. And as the cash flow came in strong, I kind of missed the window to maybe do another $25 million or so more. But regardless, I’ve already made up for that as we started this year because we’re in the markets as you would expect, especially where valuations are.
Frank Mitsch: Terrific, very helpful. Thank you.
Operator: We will now take our next question from Vincent Andrews from Morgan Stanley. Please go ahead.
Vincent Andrews: Thank you and then good morning, everyone. In adhesive resins, the impacts on the new capacity obviously a bit more pronounced in the fourth quarter, given everything else that was going on. But where are we in that process and sort of what type of impact have you baked in for 2019?
Mark Costa: Sure. Good morning, Vincent. So adhesive capacity that came online that was sort of substantial with Exxon really didn’t become effective until the back half of this year and the impact it had on pricing was holding our prices relatively flat through the end of the year as opposed to what we’ve been doing, which is successfully increasing prices with raw materials up until that point. So you had – raws go up quite a bit with oil through the third quarter, that flowing through very slowly in the fourth quarter and we lost our ability to raise prices to offset it. And so that’s a bit of the impact that you have. As you move into the first quarter, I think what we expect is prices to start coming off a bit, but we also expect raw material flow through to help offset some of that and mitigate some of that challenge. But it’s going to be a challenging year in 2019 and part of the challenges we have to overcome for AFP and we have plenty of growth to do so. I would even know within adhesives, it’s important to keep in mind that this is a very strong growth market on the end market, it’s hygiene, hot melt adhesive packaging, has very strong underlying growth in the sort of 5% to 7% range. On top of that because the sustainability trends and sensitivity to odor and VOC emissions, there’s a strong drive to convert rosins, which don’t measure well on those criteria over to hydrogen or hydrocarbon resins, which are the cleanest of what’s available to market today. And then on top of that, we just launched a new low-odor, low-VOC product as by far best-in-class in the world and are modifying our capability to produce that and go commercial on that product in this year. So that’s going to be a real help. And we’re seeing really strong growth in the polyolefin side of the business, which is sort of new for us, but we launched some new products as we’ve told you in the past on Aerafins, what we call Aerafin that you pair with resins and that’s going really well. So a lot of growth going on there, we’ve been clear that this sort of spread compression was coming and we’re working our way through it and feel great about this business long-term. It still has margins above the company average and it has a lot of innovation opportunities for us going forward.
Vincent Andrews: Okay. And just as a follow-up. This might be the year that the excess ethylene capacity is monetized?
Curt Espeland: I would say on excess ethylene, we have dealt that through the RGP option. That RGP option is – can be adjusted back to normal operations if the markets improve. Until that happens, we are not doing much more with the sale of excess ethylene until the market improves. I know, there’s interested parties, but right now until the market improves, there is not much we can do.
Mark Costa: Vincent, the value of it, right now doesn’t make sense. In addition to the RGP, which sort of eliminates all the downside risk of the ethylene to propane volatility, which is up and running by the way already ahead of this call, we do believe the market situation should improve materially in ethylene in 2020 from what we can see as they had a lot of export capacity, ethylene to get that excess quantity that’s been holding prices down out of this U.S., market.
Vincent Andrews: Okay. Thanks very much, guys.
Operator: We will now take our next question from Jeff Zekauskas from JPMorgan. Please go ahead.
Jeff Zekauskas: Thanks very much. Can you talk about the propylene complex in 2019? And that, just I guess using polymer grade prices, they have come down from say $0.60 to $0.40 and you sell a lot of propylene derivatives. What might be the year-over-year economic effect of that change for you in 2019? And how does it work in Eastman?
Curt Espeland: Well, maybe – well, how I answer that question Jeff is really what we’re assuming on olefin spreads and maybe that helps address your question is, right now, we’re expecting that propylene – propane spread to be above the same in 2019 compared to 2018. And we expect the ethylene-propane spread to little bit better that Mark mentioned, but still challenged relative to what we consider normal. And then the impact of propylene on our derivatives and CI that’s where you’re really looking at. You got to go segment-by-segment, business-by-business on what the pricing is relative to the performance. And what we’re seeing there, as I’ve mentioned, a little softness in acetyls and in certain olefin product lines we expect some softening relative to 2018, but offset overall by the cost improvements we expect in CI.
Mark Costa: Yes. Jeff, while the propylene prices are off, you got to remember the propane prices are also off quite a bit. And so the spreads are holding fairly well. And we do expect some prices to come off in the propylene derivatives and in the acetyls. We have a nice offsetting situation where we’ve eliminated the headwind from ethylene with the RGP investment. We have the lack of industrial outages in this segment and we’re going to hold cost slight, so that nets out to where we can stay stable this year versus last year.
Jeff Zekauskas: And for my follow-up, is the raw materials that went up in the fourth quarter, I take it that was ethane, propane and paraxylene and ethane and propane have obviously come off and paraxylene has come off. And that’s why you believe that you’ll begin to have relief in the second quarter as you work your – and volumes slowed down, so you’ve got extra stuff that you have to sell in Q1. Is that the general dynamic going into 2019?
Mark Costa: Yeah. That – you described it well, Jeff. I mean, oil-related items spiked in third quarter, propane, paraxylene and the like. Those have started to come off in fourth quarter. We couldn’t turn them over quick enough because of the destocking in our normal seasonalization. Those will work its course through first quarter. And as those come up, you’ll see the benefit in second quarter, absolutely right.
Curt Espeland: The only thing I’d add to list was benzene was also incredibly high in the third quarter and it has come off dramatically as you know. And it’s not just the flow through of the high-cost raw materials. Remember that when demand is really slowing down like that, also, we can’t buy that much of the cheaper raw materials in the fourth quarter. So it really slows your turnover rate. Now that volumes are ramping up, we can both flow throughout the high cost as well as get a lot more of the low cost lot faster now.
Jeff Zekauskas: Okay, great. Thank you so much.
Operator: We will now take our next question from John Roberts from UBS. Please go ahead.
John Roberts: Thank you. At the end of the presentation, it says you’re assuming Brent crude will be similar at current levels. It’s been so volatile over the past couple of months. Could you just talk about what you mean by current level? Is that rising through the year like the Futures Curve or average for the first two months of this year? Or what do you mean? And then related to that, you said more important that oil just be stable that’s there. And so it could average in a pretty wide range and you could make your guidance as long as it’s stable and not going and up and down and up and down?
Mark Costa: So to answer the first part of the question, we are assuming close to I think what the curve is. So oil sort of in the low 60s moving up to the mid-60s through the year sort of what’s embedded in our forecast. On the volatility question, stability is far better for us than volatility when it comes to oil and how it impacts raw material costs. And if it stays stable in the 60 range, we feel very good about our forecast. If it pops back to 85, obviously, we will get back into having to chase that raws up, but hopefully that’s because demand is incredibly strong and the economy is recovering, if we’re in that scenario, we have all the pricing power to do so.
John Roberts: And then it seemed like you had really strong performance in Saflex in the quarter. And was that in-spite of inventory destocking your channel supply correction and so that it gets even stronger as you get into the second and third quarters?
Mark Costa: The business was really pretty stable. It wasn’t much of a destocking event there. That was really isolated, especially plastics. So there we have such strong growth in innovation products with heads-up display and acoustics that are very high margin. So as those are growing at very high rates, the margin mix up grade you get is great. So the overall square meters could be down a little bit with the auto market, but the volume mix situation is actually quite strong. And I think that trend just continues as we go to the first quarter, same in performance films. It’s remarkable that not only was North America a great story of growth, but China was a great story of growth through the fourth quarter even with car sales being down because our paint protection films are growing at incredible rates and very high values as we penetrate and develop really that market. So – and that trend again will continue as we go into the – in the first quarter. So destocking demand situation is really about speedboat as well as the raw material situation was also entirely about specialty plastics, where you had such a dramatic spike up in PX, which was a bit unique relative to the other raw materials in the third quarter and having to sort of get that through the system. 
John Roberts: Thank you.
Operator: We will now take our next question from Kevin McCarthy from Vertical Research Partners. Please go ahead.
Kevin McCarthy: Yes, good morning. Curt, I was wondering if you could provide some color as to what you are assuming for two things, working capital and cash taxes in formulating the free cash flow guidance for 2019?
Curt Espeland: Good morning, Kevin. So yes, we are expecting another strong cash flow. If I think about just the moving parts, it’s not the two that you mentioned. We are expecting earnings to improve, so that should help us translate into cash, because we know how to convert earnings into cash. Working capital should improve compared to 2018 because we’re not anticipating that same impact of higher raws as it flows through working capital items, such as inventory and receivables. We will still have some growth in working capital for our growth programs, but as a whole, the value should improve during the course of the year. I had also mentioned that you’ll see in the Appendix we’re going to moderate slightly our capital expenditures. So offsetting all those positive things, you did see a step up in cash taxes or you’ll see a step up in our cash taxes in 2018 as we no longer enjoy the benefits of those NOLs from the Solutia acquisition. And I think that will continue in 2019 as we move back into more normal cash tax payments and that headwind could be say $50 million to $75 million on higher cash tax payments in 20 over 208. But again, we’re going to generate greater than $1.1 billion and over the course of the year we’ll see how much greater over $1.1 billion it will be.
Kevin McCarthy: Okay, that’s helpful. Thank you. And I realized the new textile products are not enormous for you, but would you comment on how big that business is? And would you expect the growth profile to remain in the 30% range going forward?
Mark Costa: Yes. We’ve had tremendous success in this business and it’s really exciting, because it’s really core to our story of Eastman and how we take these world-class technology streams, develop all these new applications have created this diverse set of products off of the silos extremely just like we have done in polyester and several other streams. And we’re really proud of the team who engaged in this and so it’s now probably about 16% of our revenue in the Fibers business. And if you look back three or four years, it was a much smaller percentage. So really changing the mix and quality of where we can get growth in the – into the Fibers business and these new growth applications. And that gives us that confidence of stability and looking for a very modest kind of growth out of this business if you look at the long-term.
Kevin McCarthy: Thank you very much.
Operator: We will now take our next question from Lawrence Alexander from Jefferies. Please go ahead.
Lawrence Alexander: Good morning. One end-market question and one high-level question. On the end-markets, could you give a little bit of around the world take on what you are seeing in commercial construction trends? And secondly, can you give a sense for how lean you think Eastman is now? And what I mean by that is if demand does surprise on the downside in the back half of 2019 or 2020, how much room is there for cost-cutting in response?
Mark Costa: Sure. So from a commercial activity point – commercial construction point of view, I think that was your question Laurence, Europe has actually been pretty strong. There is a nice backlog that we can see of commercial buildings going up and they have a lot more glass on them, as I mentioned earlier and that’s been driving very strong growth in Europe. Same in North America. We see commercial construction fairly good. China is a little bit of wildcard and not relevant to us as much on the commercial side, because we don’t really sell our interlayers into that market. And if you think about our coatings business with our textile on to the architectural additives, that’s a little bit more residential oriented than it is commercial oriented in the volumes. And that overall I think has been relatively stable for us and a good source of growth, net of the current economic situation. When it comes to your second question, which is if we head into more of a recessionary kind of situation, what we can do with costs. I’ll break that down into sort of two parts. So on the manufacturing side, one of the big advantages we have of our large integrated sites is how we staff and operate them to give us flexibility in our cost structure when things are really strong, like the first nine months of last year versus where we are now versus that decline in demand question. And the way we build on that flexibility is quite a few of our employee base are contractors and we also use a lot of over time to run the plants really hard. And what’s nice about that is as demand comes off, you can pull that lever and reduce those spends quite quickly, which we already have started doing in the current situation. And if demand falls further, you can pull those costs down even faster with less volume. So we have some flexibility built in there that can be meaningful to manage our cost structure. On the SG&A and R&D side, it’s a little but different. If you look at where we have been in SG&A and R&D, we have been quite successful in holding the costs relatively flat through productivity. And I would mention that’s actually true for the total complex. Right? So if you look at 2014 through 2017, we did about a $1 billion of cost savings productivity that allows to completely offset inflation in that time period. As we told you in 2018, our costs were going to go up about $50 million. By the way, most of that is in manufacturing, not in SG&A and R&D, but it was a $50 million headwind to us last year against variable margin growth. And now, we’re going to take it back down to being flat. So I think that the SG&A and R&D though has less flexibility for pulling it down because we’re already still efficient. On that side, we’re already in the bottom quartile of SG&A and R&D as a percentage of sales in this industry and we have one of the most successful and robust innovation portfolios. So, we’re already being incredibly efficient with our spend on that side of things. And we are increasing growth investments in the commercial R&D area there, but we’re offsetting it with cost cutting everywhere else. There is less ability to sort of pull that number down in a meaningful way and stay on strategy with our innovation and growth. But net, I think we feel very well positioned for all of this. And I had also mentioned on our cash flow side, if you go into slowdown like that, you free up a lot of cash in the inventory receivables. So we feel very confident of our cash position in a more dramatic slowdown.
Lawrence Alexander: Got it. Thanks.
Operator: We will now take our next question from Arun Viswanathan from RBC Capital Markets. Please go ahead.
Arun Viswanathan: Hey, guys. Good morning. Just wanted to understand, maybe you can just give us your commentary on some of the end-markets, automotive obviously has been an area that we have seen quite a bit of destocking, especially in China and pullbacks and builds. How does that have affect your business and maybe you can also touch on what you’re seeing in paints and coatings? Thanks.
Mark Costa: Sure. So overall market on the transportation sector, I would say, has been relatively good last year, obviously, slowed down especially in China in the fourth quarter and as I mentioned earlier despite that in Advanced Materials, we were able to deliver strong volume and mix growth through the end of the year. When you get over to coatings and tires in the AFP segment, it’s a little bit different. We’re a little more tied to sort of the actual underlying market trends. We do have some robust growth in things like resins, in tires as well as some of our ketones and other growth projects inside coatings. But we’re going to track a little bit more with demand there. And that’s where you saw some of that destocking take place. I would – and it was – there is a lot of it going on in China and I would mention some of it also going on in particular in tires in Europe. In the tire market, the tire produces have a bit of a slinky effect sometimes through the year on how they produce relative to what’s flowing through their relatively complex distribution in retail channel. So every once in a while, you go through this corrections of – they’ve produced more than where demand is at. And we saw some of that inventory correction going on in China and Europe in the fourth quarter and you can look at the tire companies, they all have identified that markets are sort of slowing down. The important thing to keep in mind though about these businesses is exposure is quite different for us when it comes to OEM and aftermarket, and we’re a lot more balanced. So, in AFP, it’s about 50-50 in the OEM exposure versus refinish, really in coatings, in tires, it’s actually 25% OEMs, 75% refinish. You also would remember that we are much more levered to commercial tires than passenger tires in the amount of Crystex that is consumed in the much larger rubber content of a commercial tire. So it’s very dangerous to over interpret a decline in OEM personal car production as a headwind for us across our businesses. 
Arun Viswanathan: All right. Thanks. And just as a follow-up, you had mentioned that AFP could be maybe at the lower end of, say 5% to 7% and AM would be at the upper end of 7% to 9% EBIT growth for the full year. I guess both of those imply a pretty sharp snap back in Q2 through Q4. So, maybe, you could just give us your confidence level in that. And just asking because again there seems to be some concern about the level of destocking versus declining primary demand, so if it is more of the latter, just wondering, how we get that sharp snap back in Q2 through Q4? Thanks.
Mark Costa: Yes. Great question. Obviously, when we spent a lot of time debating and as we said, we’re in an uncertain world right now. So, it’s a little hard to predict what the macroeconomy is going to be for the year. So, what we’re assuming as a slow growth world, not as robust as the first half of last year and that is a planning assumption. The – we are pretty clear in our line of sight to inventory destocking going on in coatings and tires and specialty plastics with these very high value products. And so you can only destock for so long. And so you can see through that and then AM, again, I told you it’s all predominantly exports back to the U.S. So, as long as U.S. consumers in place, the destocking will hit an end and then demand will recover. So, we actually feel pretty good about that. Coatings and tires, a little more exposed to the Chinese consumer. So that’s a little bit less clear, which is why we’re being a little more conservative in our guidance in AFP than in Advanced Materials. And – but we still see the destocking coming to an end, the question just is where is the Chinese economy for the rest of the year. And our belief is it’s actually still relatively good right now, but there is a lot of short-term caution by consumers. And if the trade war doesn’t escalate, it will come back.
Arun Viswanathan: Okay. Thanks.
Operator: We will now take our next question from PJ Juvekar from Citigroup. Please go ahead.
PJ Juvekar: Yes. Thank you and good morning.
Mark Costa: Good morning.
PJ Juvekar: Mark, you talked about tire products and destocking there. So on Crystex, you had some smaller players shut down in China last year due to environmental reasons. But now with the auto industry slowing down, where do we stand on Crystex inventories? And was Crystex a big contributor to the 400 basis points margin decline in AFP in the quarter?
Mark Costa: No, Crystex wasn’t a big contributor. I mean, most of the – I mean, there was some destocking of Crystex, of course, like some of the very high-value additives we have in coatings and that contributed to some of the headwind. But the bigger factor was obviously just high raw material costs flowing through relative to pricing for the overall segment. And we feel great about Crystex going forward. I mean, it’s – it is a market that’s had waves of competitive activity, as you noted, some of those competitors have left. There’s always new competitors coming back in and that’s why we focus on innovation versus just looking at supply-demand balances for our future. And this is a place, where we’ve been incredibly successful in innovation. So the new Crystex plant is up and running well in last year for the Cure Pro and Cure product lines, which provide far superior heat stability and efficiency in helping the tire plants run incredibly well. We’re talking fairly meaningful improvements in tire plant productivity, because this mixing step where our product is used is typically the bottleneck for running a plant fast. So, the adoption rate has been great. We’re focusing on innovation. This is all patented and we’ve even got another generation product beyond this one that is sort of revolutionary and what we can provide to the tire companies on the horizon that takes us even beyond this. So, this is a business that’s got a lot of innovation opportunity and ways to keep it moving.
PJ Juvekar: Great. Thank you. And then I want to go back to your RGP project on the cracker. It looks like that $20 million investment is working well. Can you quantify the benefit in 2019? And as you make less merchant ethylene, you – how much less propane and propylene do you buy? Can you just give us the mass balance around that? Thank you.
Mark Costa: Well, I’ll start and I’ll ask Greg to give you some of the mass balance stuff, because he is helping communicate there. But I’m not going to give you a specific number just on the improved ethylene. I would say that’s embedded in our overall guidance in CI. What the benefits are is that simply we produce less merchant ethylene. And thus the pressure we felt on that in 2018, which you can quantify pretty easily with the market data, we’re just not going to have that merchant ethylene sale. And I’d like Greg talk about the balance.
Greg Riddle: Yes. So if you remember on a corporate basis, we produced about 1.4 billion pounds, 1.5 billion pounds of ethylene. About half of that, we sell into the market. And with the RGP investment, we’ll be producing about 80% less of the ethylene that we would normally sell into the market. So obviously, much less exposure to the merchant ethylene market as a result of this project as opposed to what we normally have.
Mark Costa: It’s also great volatility reducer, because PGP to RGP is very stable, if you go look at history relative to what you can see on the propylene and ethylene relative to propane. So, it also sort of mitigates volatility as well.
PJ Juvekar: But you also buy less propylene, right?
Curt Espeland: We’re buying…
Mark Costa: No, actually because of the RGP…
Curt Espeland: Yes, we’re fire grade…
Mark Costa: Being substituted, which is obviously, propylene as a feedstock, it actually produces just a little bit more propylene.
Curt Espeland: And PJ, we’ll send you a chart that we have that can help you manage now through this balanced state.
PJ Juvekar: All right. Thank you.
Operator: We will now take our next question from Duffy Fischer from Barclays. Please go ahead.
Duffy Fischer: Yes. Good morning folks. I just want to understand better when your customers destocked in Q4, did you guys get the inverse of that and that you had to eat some inventory or were you able to ramp back your production enough that that wasn’t the case? And if it was, can you kind of help us size how much on your balance sheet was in excess because of that effect?
Mark Costa: Sure. Yes. No, because of the stocking kind of played out through the quarter and was more pronounced as we ended the year, we in fact had difficulty adjusting our operations to fully overcome the destocking in our own production rates. To size it, maybe just look at the difference between our targeted free cash flow and what we achieved. Maybe that’ll give you some sense of what that inventory effect was.
Duffy Fischer: Okay, great. And then just a second one. On the ability now to ship tow into China from Korea, is that meaningful or not meaningful for this segment?
Mark Costa: To me, fully keeping the segment stable. So when you look at – we had tow sales into China until August in 2018. And if they had stuck to their policy this year of no tow from the U.S. or even without qualifying in Korea, that would have been a headwind for us. By getting Korea qualified, that allows us to keep things relatively stable to 2018.
Duffy Fischer: Great. Thank you guys.
Greg Riddle: Holly, let’s make the next question the last one please.
Operator: Okay. We will take our last question from Matthew Blair from Tudor, Pickering, Holt. Please go ahead.
Matthew Blair: Hey. Good morning, everyone. I was a little surprised at the quarter-over-quarter decline in CI, just given that the propane cracking margins seemed like they should have improved for you. Could you just walk through the main moving parts here and perhaps provide some sort of break-out of the impacts you saw in intermediates versus means versus plasticizers? Thanks.
Mark Costa: So first of all, we weren’t selling ethylene in the quarter and have some of the unobserved fixed cost as a result of that. Second, you have prices coming off with the raw material environment as they tend to do in Chemical Intermediates, but still at a slow flow through of raw material costs on that basis, in particular in some of the acetyl products and a few of the olefin products. So that really is what drove the earnings to come in year-over-year lower.
Curt Espeland: And if I could add to that Matthew, don’t forget, we were not able to turn our inventory over. And so we have – still have that higher valued inventory sitting in our manufacturing sites, a good portion of that is attributable to CI and we’re live full shop and what that does to our earnings in a particular fourth quarter item.
Mark Costa: Yes. Even CI is seasonally lower in volume sequentially from the third quarter to fourth quarter, so that just spike in raw materials in the third quarter is a real tough timing in the year to get rid of it.
Matthew Blair: Great. Thank you.
Mark Costa: So I just want to wrap up and say that obviously, we recognized fourth quarter was tough and the first quarter is not what we wanted to be. But as we look at the future of this company and all the investments we’ve made that innovation-driven growth model really does give us the ability to push through this kind of environment, continue to create value and find ways to grow and we’re also sensitive to the environment we’re in right now and aggressively managing costs more than normal to make sure that we translate very well margin growth from the top line to EBIT a lot quicker this year than what we were able to do last year with the headwinds that we had relative to what we’re expecting this year. So that leverage I think is an important part as we think about the overall math in a slow growth world this year being able to deliver quite strong earnings growth once we get passed the first quarter. So, appreciate all the questions and thank you.
Operator: Ladies and gentlemen...
Greg Riddle: Thanks again for joining us this morning. Have a great day. Go ahead, Holly. Go ahead.
Operator: Yeah. Sorry. This concludes today’s call. Thank you for your participation. You may now disconnect.